Operator: Good afternoon, ladies and gentleman, welcome to Tucows, Inc.’s fourth quarter 2011 conference call. Earlier this afternoon Tucows issued a news release reporting its financial results for the fourth quarter. That news release and the financial statements are available on the company’s website at www.TucowsInc.com under the Investor’s heading. Please note that today’s call is being broadcast live over the Internet and will be archived for replay, both by telephone and via the Internet, beginning approximately one hour following the completion of this call. Details on how to access the replays are available in today’s news release as well as at Tucows’ website. Before we begin, let me remind you that matters the company will be discussing include forward-looking statements and as such are subject to risks and uncertainties that could cause the actual results to differ materially. These risk factors are described in details in the company’s documents filed with the SEC, specifically the most recent report on Form 10-K and Form 10-Q. The company urges you to read its security filings for a full description of the risk factors applicable for its business. I would now like to turn the call over to Tucows’ President and Chief Executive Officer Mr. Elliot Noss. Please go ahead, Mr. Noss. 
Elliott Noss: Thank you, operator. With me is Michael Cooperman our Chief Financial Officer. Today’s call will follow our usual format. I will begin with a brief overview of the financial and operational highlights for the quarter as well as the year on the whole. Mike will then review our financial results in more detail and I will return with some concluding comments before opening the call up to questions. Our continued strong performance in the fourth quarter concluded a year that was indicative of the consistency and reliability in our business as well as our ability to efficiently deliver growth. Revenue for Q4 was another record, our seventh in a row, at $26.4 million, up 19% from the same quarter of last year. Importantly, we again saw growth generated in each key area of our business. Total revenue for 2011 rose to just over $97 million, also a record. Cash provided by operating activities for the quarter was a healthy $2.7 million and adjusted EBITDA for the year was $7.4 million. Looking at each of our service groups individually. The fourth quarter saw another record for OpenSRS domain service transactions, which were up 20% year-over-year to more than 2.1 million. Domain service revenue was also up 20%. Both new registrations and renewal registrations, continued to show strong growth, up 17% and 21% respectively, excluding the impact of the two customers that became registrars earlier in the year. I will add that our renewal rate continues to hold steady at a level well above the industry average. Total domains under management at the end of the quarter was also a record, at 11.8 million, up 16% from a year earlier, or excluding our EPAG acquisition, up 13%. At YummyNames, our domain portfolio group, Q4 was another strong quarter for sales of individual names, which were up 24% year-over-year, and 31% sequentially. In addition, our focus on increasing the average selling price of brandables and gems is clearly yielding results. Again this quarter we saw another record average selling price, and had a good number of individual name sales in access of $10,000. More importantly, over the past 12 months, the average selling price of individual names has more than doubled. We are again pleased with the results from our new expiry steam partner who continues to make bulk purchases at a healthy rate. During the quarter, we migrated the majority of our owned and operated domain portfolio to the platform of a new parking partner. The positive results here contributed to flat parking revenue, which as I have noted in the past, has been in a long-term period of decline. Our retail services offering, Hover, had another strong quarter, with revenue up 22% compared to Q4 of 2010. And I will again note the underlying performance of Hover continues to masked with the deferral of revenue. New transactions, which include new domains, transfers and email accounts were up 49% year-over-year and 22% sequentially. Hover renewal rates also remain strong during the quarter, and customer satisfaction, as mentioned by net promoter score, continues to increase. Hover continued to see strong momentum with inbound transfers. In fact, transfers in outnumbered transfers out by almost 5 to 1 in the fourth quarter, boosted by our very public support of the open Internet and our stance against SOPA, the content industry legislation that was chased out of congress. As a result, in the late part of Q4 and early part of Q1, we gained significantly more customers than would normally be the case, including a number of high profile clients, like Wikia, run by Wikipedia founder Jimmy Wales. Finally, our closed beta for Ting, our mobile phone offering in the U.S., ran throughout the fourth quarter. We made a number of refinements to our service based on the input of our beta customers, and on February 1 of this year, we formally launched Ting to the public. The initial press coverage and response has been encouraging. I would like to spend a moment sharing how we will talk about Ting for most of 2012. We are in this market for the long haul, viewing mobile as the most important technology trend of the next 10 years. We do not intend to talk about subscriber numbers, ARPO, or margins for at least the next few quarters. We do intend to share some of our experiences in the market to bring color to our experience. In terms of expectations for 2012, I think we will be disappointed if by the end of the year, Ting was not either on track to becoming or was already the company’s second largest service behind domain name registrations. In summary, the fourth quarter and the year in the whole were periods of strong operational and financial performance. We continue to generate solid cash flow while achieving solid growth with minimal capital investment and minimal impact on our operating cost. All of this sets us up for a great 2012. I would now like to turn the call over to Mike to review our financial results for the quarter in greater detail. Mike?
Michael Cooperman: Thanks, Elliott. Net revenue for the fourth quarter of 2011 – or 2010, excuse me, increased by 4.3 million or 19% to 26.4 million from 22.1 million for the fourth quarter of last year. This increase was the result of growth in each of the components of our business. Cost of revenues before network costs were $18.5 million, an increase of $2.9 million or 19% from $15.6 million for the same quarter of the previous year. Gross margin before network costs for the quarter increased $1.4 million or 22% to $7.9 million from $6.5 million for the fourth quarter of 2010. On a percentage basis, gross margin was up marginally at 30% compared with 29% for the fourth quarter of 2010. Gross margin from OpenSRS, which includes domain name services, email services, and other wholesale services increased by $900,000 or 22% to $4.8 million from $3.9 million for the same quarter last year. The increase being generated by strong growth in domains and email. As a percentage of revenue, gross margin from OpenSRS remained essentially flat at 21% when compared to the fourth quarter of 2010. Gross margin from domain name services increased by $652,000 or 24% to $3.4 million and reflects both higher transaction volumes from existing customers, the contribution of the EPAG acquisition that we completed during the third quarter, and the impact of the launch of the triple-X registry. Gross margins from our email services increased by $188,000 or 44% to $612,000 primarily as a result of higher volumes that our email customers are experiencing, as well as the impact of the lower pricing we have been able to negotiate with one of our third-party suppliers. Gross margin from YummyNames increased by $115,000 or 9% to $1.5 million from $1.4 million for the same period of 2010. The increase primarily reflects the timing of portfolio domain name sales as well as higher expiry stream sales following our move to a new partner. On a percentage basis, gross margin for YummyNames was slightly higher at 89% compared with 88% for the same quarter last year. Gross margin for Hover increased $110,000 or 14% to $864,000 from $764,000 for fourth quarter of 2010, primarily due to the continued success we have been having in attracting and retaining customers through our marketing and branding initiatives. As we’ve discussed on past calls, the simplified Hover pricing model that we implemented as part of our market initiatives has had a small impact on gross margin as a percentage of revenue, which fell to 62% from 66% in the same quarter a year earlier. Gross margin for Butterscotch increased $328,000 or 76%, to $752,000 from $424,000 for the fourth quarter of 2010. The increase was the result of specific marketing initiatives undertaken by one of our vendors. These initiatives may not be recurring. The increase was partially offset by lower contributions from corporate video initiative, as well as from our author resource center and display advertising from the www.Tucows.com desktop software libraries. On a percentage basis, Butterscotch’s gross margin was up slightly to 99% from 98%. Turning to costs. Network costs for the quarter decreased $138,000 or 9%, to $1.3 million from $1.5 million for the fourth quarter of 2010, primarily the result of the efficiencies we have achieved in operating and managing our co-location facilities as well as the decreased commitment we have needed to make in capital expenditures on network commitment. Total operating expenses for the fourth quarter increased $177,000 or 5% to $3.9 million from $3.8 million for the same period of 2010. As a percentage of revenue, total operating expenses decreased to 15% from 18%. The increasing total operating expenses, primarily resulted from an increase in payroll-related cost of some $400,000, when compared to the fourth quarter of 2010, and mainly reflects annual increases and the addition of EPAG in 2011. This increase was partially offset by a recording a gain on foreign exchange of $168,000, and a decrease in amortization of $142,000 when compared to the fourth quarter of 2010. I will note that during the quarter, as part of our efforts to improve our disclosure, we reassessed how we have been disclosing the impact of maturing currency exchange contracts and concluded that a clearer and more transparent presentation would be to offset any impact maturing contracts have against the gain or loss on currency forward contracts line, rather than the G&A line. The result of this reclassification is that the aggregate impact of the forward contracts is presented on one line, and the trending our G&A expenses can now be tracked without having to make an adjustment for its effects. Total operating expenses as a percentage of revenue fell by 3% to 15% when compared to the fourth quarter of 2010. Net income for the fourth quarter of 2011 was $6.1 million with $0.11 per share compared with net income of $1.2 million or $0.02 for the fourth quarter of 2010. Included in net income per share for the fourth quarter of 2011, is a tax benefit of $0.06 per share related to the release of deferred tax asset valuation allowances. Cash and cash equivalents at the end of 2011 were $6.4 million up by $1.7 million from $4.7 million at the end of the third quarter of 2011, and up by $2.2 million from $4.2 million at the end of 2010. The increase compared to the end of the third quarter was the result of cash flow generated by operating activities of $2.7 million. This was partially offset by our repaying $710,000 of our credit facility with the Bank of Montreal, and our investing $221,000 in purchasing property and equipment. I will note for you that in anticipation of the release of Ting, we began to invest in phone inventory during the fourth quarter. And as of the end of 2011, had just over $200,000 of phone inventory on hand. Deferred revenue at the end of 2011 was $69.2 million, an increase of 11% from $62.6 million at the end of 2010, and up just slightly from the end of the third quarter of 2011. In summary, our financial performance for the fourth quarter was very much indicative of our strong performance for the year overall, and continued to reflect the leverage in our business model. We continue to grow our top line, deliver solid cash flows from operations while prudently managing cost. All of which are indicative of the underlying health of our business and position us well for the future. I would now like to turn the call back to Elliott. Elliott? 
Elliott Noss: Thanks Mike. We’ve always been committed to transparency. And as part of our on-going effort to help you track our performance, at the end of Q1 we will be making some adjustments to the way we report our results. These changes will bring our reporting more in line with where our business has evolved to in 2012. Butterscotch has become a less important contributor to our overall business, and will no longer be broken out separately, but will instead be part of a broader content number, along with much of our direct navigation revenue. We also recognize that a lot of the expiry stream revenue is more rightly attributed to the OpenSRS business. Finally, on that Q1 call, we’ll be sharing how Ting will be covered in the numbers as the business ramps up. We are also considering the adoption of hedge accounting for foreign exchange contracts that qualify for this treatment to offset the mark-to-market movements that often result in significant earnings volatility. Ultimately, the Tucows story is a simple one, and we believe these changes will help you follow our company better. Before I open the call to questions, a few words about our most recent buyback. As I have discussed many times, Tucows is a publically traded company that consistently generates cash while achieving growth, without requiring much capital. We are committed to returning capital to shareholders over the long-term. Based on our continue confidence in our business and the attractiveness of our shares, in December we initiated our sixth modified Dutch Tender option. Under the tender, which was completed in January, we repurchased 7.6 million shares, or 14% of our total shares outstanding prior to the tender. Since initiating our first share buyback program in February of 2007, we have repurchased a total of 30.8 million shares, or just over 40% of shares outstanding. 2011 was another solid year of financial performance. However, it was also a year in which we launched more new services than any other year in our history, while at the same time, making important improvements to our existing services. As a result, we enter 2012 with significant momentum. We believe we have the best distribution channel in the Internet economy, and leveraging this channel as we are through the continued introduction of new services, such as Ting, will support our continued growth and diversification beyond domain registration. Our ability to do this in an efficient manner, with little capital investment or impact on operating expenses, will support both our ability to consistently generate cash, and our commitment to returning capital to shareholders over the long-term. And with that, I’d like to open the call to questions. Operator? 
Operator: (Operator instructions). Your first question comes from the line of Alex Grassino from Laurentian Securities, your line is open.
Alex Grassino – Laurentian Bank Securities: Good afternoon, gentlemen, nice quarter.
Elliott Noss: Hi, Alex, thanks.
Alex Grassino – Laurentian Bank Securities: In terms of Ting, can you just give us some of the lessons you got to learn to off of the data you ran?
Elliott Noss: Sure.
Alex Grassino – Laurentian Bank Securities: And are there any [inaudible]?
Elliott Noss: Yes, there were – I mean, what we really want to do whether it’s Ting or rest of our business is really let the market teach us and there are a couple things that we’re very much able to take away. You know, there were, of course, all sorts of myths that worked out and presentation of certain ideas in certain ways, but I think two big ones that I will call out. A first is a real resonance for Ting with small businesses, and that was something that, you know, I have talked about a little bit in the past, I think I might have mentioned it on the last call. But it is something we’re very clearly – you know, we didn’t appreciate how underserved that niche might have been, and so we’ve done some things, for instance, in the way that we’re presenting and allowing multiple phones, we’ve taken sort of the easy presentation of the number of devices in a bucket up from six to twenty as an example. And we’ll go past that, but that is just in the presentation. So that small business opportunity. I think the second large one was what I like to jokingly call a mom’s ride free. So what you had was, and again I think I touched on this last call, but I want to go a little further with it, is you know, really in appreciation by some, I’ll call them smarter and more suffocated customers, which is just the kind of customers that we think Ting should appeal to – that if they added a parent and got their parent a cell phone, often a feature phone, you know, the lowest, the least expensive phone they can get from us, that essentially they would only have to pay the $6 fee to keep the device alive because it would be rare that the parent’s usage would actually drive them up into an additional bucket. So from that perspective, you’re paying $6, you’re keeping your parents there, you can manage and track their usage, deal with the problems, which as a good geek, you’re probably doing anyway, and there’s a real resonance there. So it’s again, that, you know, just something that emerged up from the customer set that was great learning and it’s fantastic from our perspective. 
Alex Grassino – Laurentian Bank Securities: Great. And just a more technical question in terms of inventory, do you have any sort of conceptual ideas as to where you want to keep inventory levels for your phones?
Elliott Noss: You know, I think the short answer is as low as possible. You know, we’re putting a fair bit of effort, the two places we’re putting a lot of our focus – you know, outside, of course, the marketing distribution which is the most important thing, is really building some excellence around managing the inventory, and the second is really being pristine around the customer experience. You know, with inventory in particular, I don’t want to give you a days in inventory because I think even our targets are going to be different phone-to-phone, and they are going to be different quarter-to-quarter. And in fact, I think that the channel for the typical distribution of phones is really going to evolve a lot over the next 24 months. But we’ve modeled this out and we’re pretty comfortable that, you know, we’d love to have the problem of having to carry huge inventory because that would be a sign of real, real success.
Alex Grassino – Laurentian Bank Securities: I see, and just one last quick one, I haven’t heard anything on the goMobi for a little while, can you give me – us a bit of an update there?
Elliott Noss: Sure, you know, goMobi is continuing to grow, it’s – you know, we’re happy, reasonably happy with adoption [inaudible] everybody, whether it’s our partner on the supply side, you know, or most of our customers would love to see that stuff ramp up quicker. We’re still, you know, we’re still positive about it, and we’re still seeing growth there, you know, just not enough that it would warrant a sort of materially talking about it on a call.
Alex Grassino – Laurentian Bank Securities:
Elliott Noss: Thanks, Alex.
Operator: Your next question comes from the line of Thanos Moschopoulos, from BMO Capital Markets, your line is open.
Thanos Moschopoulos – BMO Capital Markets: Hi, good afternoon.
Elliott Noss: Hi, Thanos.
Thanos Moschopoulos: Hi, Elliott. To clarify your comment you made earlier, you said that you expect Ting to become your second largest piece of business as we head towards the end of next year. Are you talking about from a revenue perspective, or from a margin contribution perspective?
Elliott Noss: Well, I think it would be as a goal, as an aspirational goal, it would be both. And there, just to be clear too, we’re talking about outside of the main registration, so I’m comparing it to things like SSL and email. 
Thanos Moschopoulos: Okay, and then on the YummyNames business, you know, you’ve had some constant revenue there over the past few quarters, do we get to a point though where you start to work through a lot of the ad space that you have and we have to start worrying about that revenue sort of starting to tail off, or is that just constantly being replenished from the expiry stream?
Elliott Noss: Yes, no, there is no worry in site there. I’ll tell you the way that we think about it internally is as if we have infinite inventory, and I don’t mean that literally, but I do mean that, you know, the – we are adding names through the expiry stream faster than we are selling them, which means we don’t have to think about the problem of depletion yet. So we’re really focused, and you heard me making some comments on this, on maximizing total revenue, and you’ve heard me talk about price inelasticity in the past, so, you know, that doesn’t mean just hit every bid you get, you will not maximize your revenue by doing that. So we’re really constantly tweaking that, and really just trying to, sort of, tick up on the total revenue.
Thanos Moschopoulos: Basically, bottom line is we’re seeing the main transactions going at a very, very healthy pace, so, similarly, I mean, you’re asset base is presumably going at that pace as well?
Elliott Noss: Yes, we’re comfortable that, you know, we can continue along on the pace that we’re going. 
Thanos Moschopoulos: Okay, now you kept up OpEx pretty flattened in recent quarters. Now that we’ve had sort of an uptick in your growth and, you know, your margin contribution, but you start to invest a little bit, you know, to capture some of the opportunities in front of you, maybe accelerate your traction in Ting and so forth, or should we think about OpEx being consistent going forward?
Elliott Noss: You know, you always heard me talk about, or you know, in fact, I really haven’t talked in the last maybe few quarters, but you’ve heard me talk for years about, you know, sort of looking to spend no more than $0.50 of every additional dollar generated in OpEx, and that’s bill gross margin dollar. You know, we’re always looking for opportunities to take advantage and I think, you know, this is no different. If some of these opportunities present themselves and a little bit more growth presents itself, you know, we’re going to embrace it, we’re not – you know, we’re not adverse to that at all.
Thanos Moschopoulos: Okay and it sounds – you maybe comment that as you got towards quarter end, you had sort of a benefit from maybe some of the boycotting of other registrars that was happening out there. Has some of that momentum continued into the current quarter, or should we think about that – go ahead.
Michael Cooperman: Well, I – what I said was we benefitted from our support of the opening.
Thanos Moschopoulos: Okay.
Elliott Noss: Just to be clear, but, you know, that really that was primarily through the last week in December and the first couple weeks in January, so, it did carry on into the first quarter, you know, but now it’s business as usual.
Thanos Moschopoulos: Right, okay.
Elliott Noss: I mean, we have a bunch of new customers, and of course, as they come over the bring over maybe their domain portfolios, they speak to their friends, et cetera. You know, one of the great ways to track a Hover is just looking at Twitter and watching mentions about Hover, or Hover.com, or Hashtag Hover. You know, you really get a great flavor for the ground swell and support, and real customer appreciation for Hover there. 
Thanos Moschopoulos: Okay, that’s it for me, I’ll pass the line, thank you.
Elliott: Great, thanks, Thanos.
Operator: Your next question comes from the line of Jim Kennedy from Marathon Capital Management. Your line is open. 
Jim Kennedy – Marathon Capital Management : Hi, Elliott. 
Elliott Noss: Hi, Jim, 
Jim Kennedy – Marathon Capital Management : Congratulations on a good quarter. 
Elliott Noss: Thank you. 
Jim Kennedy – Marathon Capital Management : A couple of housekeeping issues. With the buyback, shares outstanding at this point, are we kind of in that 47 million range? 
Elliott Noss: I want to say 46, but Mike’s going to correct me. 
Michael Cooperman : No, 46 is right. 
Jim Kennedy – Marathon Capital Management : Okay, so okay, so we’re at 46, all right, very good. Secondly, I missed the context of your mark-to-market comment earlier. What were you referring to that you’re going to mark-to-market starting next quarter? 
Elliott Noss: We’re going to – we’re considering it, and you know, what that would do would be to take the – sort of the lumpiness out of the way we report, take that big correction for currency and sort of blend it in with the rest of the accounts. So it’s a lot less, you know, it’s a lot less of a big bite going down the gullet, might be the best way to put it. 
Jim Kennedy – Marathon Capital Management : So what are you not marking to market now that you would mark-to-market at that point? 
Elliott Noss: Oh, it’s just a different presentation of the same contracts. So we’re doing nothing different, we would do nothing different in the way we hold contracts or hedge curves, nothing different in our strategy or our tactics. It’s just simply the presentation. And to take this mark-to-market approach is more work and more expense. And you know that I always look very carefully at every expense, Jim, so there’s been a constantly dialog and the tradeoff is this bit of extra effort and extra spend worth the cleanliness in the presentation. And you know, we’ve got a little bit of a better handle on the work and you know, we’ve beaten up our suppliers a little bit more, so we’re looking at it a little more closely. 
Jim Kennedy – Marathon Capital Management : Okay, good. Next question. Are you seeing any traction whatsoever in the expansion of the high-level domain name yet, or are we still in the kind of warming up waiting for the first inning there? 
Elliott Noss: Well, you know, I think this is more like they’re introducing the opening lineups than quite the first inning. So Ting are continuing a pace, you know, I repeat what I always say, which you know, you’ve heard me say to you for years, no revenue until 2013 at the earliest. But it was announced very recently that there’s now 100 application in the queue, applications will be coming in until April 12 and we will be – I’d say surprised if there’s not a full 1,000 or 1,000-plus in there by April 12. And sort of towards the end of April, or around May 1, there’s what those of us in the industry are calling the reveal, which is when iCan will turn over all the cards and let us know who’s bid on what and where there’s contention and where there’s not. So you kow, this is continuing exactly as it should but again, you know, no acceleration in the potential for revenue. 
Jim Kennedy – Marathon Capital Management : Is the thought there on iCan’s part that if I did win something, let’s suppose I'm the only person that wanted a name, that I would be able to start my business immediately, or there is some sort of additional process I’d have to go through? 
Elliott Noss: No, there’s significant additional process that will take it through the rest of 2012. And that’s really – those are the processes that you might have seen some of the opponents to the new GGLD program claim warrants and existence. And so this is a period where there’s a significant amount of time and rules built around, for instance, intellectual property challenges to a string. Or governments have an ability to challenge around a string. There’s room for what’s called community objection. There are a few different heads of objections there and different processes that will run their course through the rest of 2012.
James Kennedy – Marathon Capital Management: Okay, and final question, could you drill down just a little bit on the Ting marketing strategy in terms of kind of who you think your targets are market is at this point, is how you’re attempting to reach out to them be it through social media or whatever. And I would assume as you learn more over the next few months or year, that strategy might change as your subscriber base grows or your potential subscriber base grows.
Elliott Noss: Yes, I'm going to deal with the last part first. We’re in an industry and whereas a company, [inaudible] of trying things. And then doubling down where there’s success, learning from what we’re doing. And one of the things that we think that’s beautifully built into our business is the ability to experiment very inexpensively. And that allows us to do some of the learning in market. I really love to talk about sophisticated customer [inaudible]. You’ve heard me use touch tones like zip car or ING before. Customers who appreciate a different way of doing things what we think is a better and less expensive way of doing things, it’s really built around the customer. In terms of how we reach – we’re going to use initially to retail level of the same approach [inaudible]. [Inaudible] successful for us.
James Kennedy – Marathon Capital Management: Elliott, I don’t know if it’s my phone or not, but you’re breaking up. It’s probably me. Why don’t you – I'm going to hang up. That’s better.
Elliott Noss: Okay, so what we’re going to be doing at a retail level is we’re be using a lot of the tactics that have been successful with us with Hover. And that’s including going into the podcaster who’s we’ve been very successful with. Other online marketing approaches, we’re used some of our [inaudible] portfolio trying to promote Hover. And of course, they’re all buttressed by really smart use of social media to reinforce the successes there. And then on the wholesale side, we’re going to see in this quarter the start of experimentation both in terms of using bigger partners for lead generation and smaller partners who have really, really tight customer touch in order to have a more direct relationship. So you’re going to see, for those very small IT integrators, we think they could have a huge role in putting Ting in the hands of their customers. And I think when I talked earlier in the call about sharing some of our in-market learning for the next few quarters, those are the kind of stories you’re going to hear me talking about.
James Kennedy – Marathon Capital Management: Got you. All right, very good. Thanks a lot.
Elliott Noss: Thanks, Jim
Operator: Your next question comes from the line of Aaron Fuchs from Fertilemind Capital. Your line is open.
Aaron Fuchs – Fertilemind Capital: Yes, it’s actually a follow-up to that. The big expense for the American wireless providers has always been the marketing averaging hundreds of dollars per acquired sub. And you mentioned that you have some big customers in the domain space and many little small IT integrators. So it seems difficult to understand how these guys are able to help you. Can you detail that more often, detail that in greater specificity? That would be helpful.
Elliott Noss: Let me try it like this. I think you’ll see a number of our large partners are really broader than web hosting companies at this point. They have a full suite of services that they offer to small businesses and individuals. And a lot of them have developed a fairly high level of expertise in cross selling and up selling. So think of Ting as an additional service that they’ll be offering both in their purchase pass and in their control panels as well as in outbound emails to their customers. If I recall correctly, I think you’re a Hover customer. You might start to see some of that this month.
Aaron Fuchs – Fertilemind Capital: I am a Hover customer, and I am one of those that transferred some domains in in recent months. 
Elliott Noss: So you might see, if you’re in a test group, in fact, reach out to me offline and I’ll put you in a test group. You’ll see some of that in Hover this month. And when I say that you’ll see, what you’ll see in Hover is some of our other larger partners are going to be doing. Do you want to dig in a little bit before I got into the small IT integrators?
Aaron Fuchs – Fertilemind Capital: No, go onto those.
Elliott Noss: So with the small guys, they’re people who have these fantastically tight relationships with businesses that have typically less than 100 employees. They are dealing with everything from the desktop through the domain registration to the website. In a lot of cases what they’ve told us is they’re actually dealing with the cell phones for their customers anyway. They’re just not part of the economic equation today. So they’re the ones who have to call AT&T and deal with AT&T’s customer service. So for them, the prospect of being able to, two things; one, get compensated for what they’re already doing. Two, be able to provide their customers most importantly with less-expensive higher level of service that they have way more control over. They, the IT integrator, has way more control over. They’re thrilled. So those are the two types of relationships and you know with anything that we do, it’s a very, very heterogeneous group, so it’s not like there will be only two. But I want to use those two touchstones to sort of talk it through at this point.
Aaron Fuchs – Fertilemind Capital: Right, and then the economics of the deal, with bandwidth and minutes and things like that, give us the parameters of the contract. These pricing models tend to change quarterly. There’s move here to move to unlimited bandwidth in data sometimes, and then caps and others, and I'm just curious if previously one of the MBNO’s was public and didn’t have a good experience. How does your contract differ from the first generation of MBNO’s?
Elliott Noss: I think that Sprint like – I’ve talked about a few times in these calls, learned from their experience in market. We have a lot of when I say flexibility, we’re buying network from them. I think that there’s probably two or three things that I would note there. First, we built the whole billing and provisioning system. We built the whole rating engine. I think we did that because of where we’ve come from as a business and what our other business experiences were, but that’s unique. Most MBNO’s don’t do that, and by not doing that, they would have a lot more constraints around their flexibility. And they would change their own economics. So by doing that, we really do turn Sprint into a pure network, a done pipe. I think the second thing is, I’ve been in this industry a long time. And network prices only go one way in my experience. So we’re not worried about price shocks in terms of our costs being increased at some point. And I think the third thing is that I'm very comfortable and every option has been, Sprint has been a great partner. And really, they think we’re bringing something a little different to the market from what they’ve seen in the past. And the early press reaction is, you’ve seen it Aaron, is only reinforced that. I mean, the fact that when AT&T, when there’s an article now talking about AT&T’s allowing for bungling of data plans, in other words, for people to share data buckets, and we’re already referenced as kind of the only supplier in the market doing that. That’s with us being in the market two weeks. So I think it’s really reinforcing the three or four or five big differences that we’ve brought really being recognized.
Aaron Fuchs – Fertilemind Capital: Great, thanks for your time.
Operator: And there are no further questions at this time. I’ll turn the call back to the presenters.
Male: Thank you, and I look forward to you all joining us next quarter. Thank you, operator.